Analysts : Bill Warmington - Wells Fargo Securities Paul Ginocchio - Deutsche Bank Brandon Dobell - William Blair Peter Appert - Piper Jaffray Gary Bisbee - RBC Capital Markets Suzi Stein - Morgan Stanley Andrew Steinerman - JPMorgan Manav Patnaik - Barclays Capital Jeff Meuler - Robert W. Baird & Co. Hamzah Mazari - Credit Suisse Andre Benjamin - Goldman Sachs Joseph Foresi - Janney Montgomery Scott Andrew Jeffrey - SunTrust Robinson Shlomo Rosenbaum - Stifel Nicolaus
Operator: Good day, ladies and gentlemen, and welcome to the Q2 2014 IHS, Inc. Earnings Conference Call. My name is (Mars) [ph] and I’ll be your operator for today. At this time, all participants are in a listen only-mode. We will conduct the question-and-answer session towards the end of this conference (Operator Instructions). As a reminder, this call is being recorded for replay purposes. And now I’d like to turn the call over to Eric Boyer, Vice President of Investor Relations. Please proceed, sir.
Eric Boyer: Good morning, and thank you for joining us for the IHS second quarter 2014 earnings conference call. We issued our second quarter earnings release earlier this morning. If you do not have a copy of this release, it is available on our website at ihs.com. Some of our comments and discussions on the quarter are based on non-GAAP measures. Our non-GAAP or adjusted numbers exclude stock-based compensation, amortization of required intangibles and other items. Our earnings release includes both our GAAP-based income statement and statement of cash flows and reconciliations to the non-GAAP measures discussed during this call. These reconciliation schedules are included in our release and can also be found on our website. The non-GAAP results are a supplement to the GAAP financial statements. IHS believes this non-GAAP presentation and the exclusion of these items is useful in order to focus on what we deem to be a more reliable indicator of ongoing operating performance. As a reminder, this conference call is being recorded and webcast and is the copyrighted property of IHS. Any rebroadcast of this information in whole or in part, without the prior written consent of IHS is prohibited. Please keep in mind that this conference call, especially the discussion of our outlook, may contain statements about expected future events that are forward looking and subject to risks and uncertainties. Factors that could cause actual results to differ and vary materially from expectations can be found in IHS' filings with the SEC and on the IHS website. After our prepared remarks, Scott Key, IHS’ President and CEO and Todd Hyatt, EVP and Chief Financial Officer will be available to take your questions. With that, it is my pleasure to turn the call over to Scott Key. Scott?
Scott Key: Thank you, Eric. Welcome to everyone and thanks for joining us. It was great to see many of you at our recent Investor Day in New York where we were able to have a good discussion of our long-term strategy to address the tremendous opportunity we see across the global markets we serve. Today we’ll review our results from the second quarter and also provide an update on the progress we’ve made on key initiatives, linked to future performance. Todd will provide specifics of our financial performance for the quarter. But I wanted to start with a few comments. Overall, we were pleased with our Q2 performance, delivering results as expected and see the year developing as discussed on our last two calls with a build of organic growth, adjusted EBITDA, free cash flow and earnings for 2014 and into 2015. We had strong revenues of $568 million in Q2 up 36% from 2013. Importantly, we advanced our subscription organic growth in the period as planned, delivering a solid 6%. We also continue to improve our non-subscription business, delivering positive organic growth of 4%. And we continue to expect this part of our business to be neutral to positive for the full year. The result for Q2 was total organic growth of 6% which reflects the positive effects of continuous improvement in internal sale systems and processes, strengthening of our regional and product teams and leadership and initial positive impact of our sales and work flow platform growth initiatives. We are pleased to be on track to organic revenue growth [cause] [ph] delivering the strongest total organic growth in seven quarters. Adjusted EBITDA was a 173 million for the quarter up 43 million from Q2 2013. And this strong EBITDA performance drove solid free cash flows in the period, where we achieved an important milestone of greater than 500 million in free cash flow on a trailing 12 month basis, a great achievement on this core value creation metric for IHS. Our strong free cash flow has allowed us to quickly de-lever following our Q3 2013 acquisition of R.L. Polk reaching our target leverage ratio range in just four quarters, reflecting the strength of our business model. In terms of our regional performance, in the Americas, we delivered organic growth that was solid in both subscriptions and non-subscriptions. And we saw continued build in our sales pipelines as we ended the quarter. In EMEA, the build in our organic growth is a result of solid infrastructure, improved sales systems and processes, strong sales leadership and field sales teams and inside sales infrastructure and capability. And finally in APAC performance rebounded as expected, based on strength and subscription organic growth and we have a positive performance outlook for the year. Let me also provide some color on our core product categories, resources which includes our energy and chemicals teams, experience continued strength across the portfolio, benefiting from the rollout of IHS connect and solid consulting and non-recurring delivery as we build [four year] [ph] pipelines across both energy and chemical sectors. Across our industrial teams, which includes automotive, technology, maritime and aerospace and defense we had continued solid growth in autos. In technology and maritime, we saw the improving growth trends we discussed in Q1 and this was reflected in the improving organic growth in Q2. And finally, in aerospace and defense we continue to build and evolve our offerings, teams and sales motion with the emerging strength in the period in EMEA and APAC and signs of improved organic performance in the Americas. Our horizontal product teams drove improvement in Q2 and benefited from product investments and the delivery of new platforms and capabilities into the market in operational excellence and risk management, economics and country risk, as well as product design and our engineering offerings. I would also like to provide an update on 2013 acquisitions including R. L. Polk. As we close the first half of 2014 we delivered solid performance from 2013 acquisitions. And this was reflected in our Q2 results. We are also investing in the new products and synergy revenues that are delivering positive growth. Our R. L. Polk acquisition showed good progress in Q2 as we built [out our] [ph] analytics and Big Data analysis platforms. These will underpin new automotive analytical capabilities and we are already seeing strong market reception for these new solutions. We also closed several major multi-year contract renewals with key legacy Polk OEM clients maintaining and building on these important relationships. CARFAX performance was solid in the period reflecting investment in new products and the recent successful launch of the used car listing service which builds from our vehicle history reports and targets our core dealer customer base. CARFAX also launched a very positive new television campaign in Q2 in support of this new growth. I feel good about our progress with 2013 acquisitions as we create important scale across our core industries and create new value for our customers. We are also making solid progress on the margin progression of these assets while also making new product investments. Todd will speak and in a moment about our balance sheet strength and our improved leverage position. This is now allowing us to take advantage of future acquisition opportunities as we activate our pipeline. In the second quarter we held our two largest industry events, IHS Energy CERAWeek and the IHS World Petrochemical Conference. We are pleased to see great market reception characterized by strong attendance and financial performance that contributed in part to the strong seasonal Q2 revenue delivery that marks our second largest revenue quarter. We also continue to build our market presence globally in key geomarkets, and in the quarter we held our first ever IHS forums in Berlin and Dubai which were both well attended. Our goal with IHS forums is to bring together executives from industries with very connected supply chains to gain insight and share expertise as we realize our strategy of bringing integrated insights to customers. Both events created strong market presence and brand awareness for IHS with more than 2000 media mentions and a solid build in our sales pipelines from both events. At HIS, every leader and colleague has two clear priorities, designed to drive strong performance, operational excellence and commercial expansion. Let me start with operational excellence. As we discussed many times, operational excellence is our relentless focus on continuous improvement in internal systems and processes to make us more efficient every day. During Q2 we continue to make measurable progress in sales systems, pipeline and opportunity management. And this allowed us to more effectively identify, manage and direct resources to our greatest opportunities, and this is making it simpler for us to focus on customers and growth. We also remain on track with our commercial expansion efforts which includes our workflow platform and account growth initiatives. These are the foundation of the organic growth path we outlined at Investor Day. These initiatives include releases of new customer platforms and the account development and growth initiatives including our target 1000 accounts, field sales in our 20 key geomarkets globally and leverage of inside sales in our three centers of excellence in the Americas and EMEA and APAC. As we discussed last quarter, the development and roll-out of our common workflow platforms has gained momentum in the first half of 2014, as we build on 2013 milestones and achievements. IHS workflow platforms embed us in our customer’s key decision processes and daily workflows across each of our core industries. They also give customers a common point to access the full breadth and depth of IHS solutions while also simplifying the selling motion, enabling cross sell and up sell opportunities and supporting solutions selling, all of which creates future organic growth opportunities for IHS. We are investing in these initiatives and the delivery infrastructure needed to ensure our success. And we made good progress in their rollout through the second quarter. We remain on track and our progress is reflected in the improving organic growth we are now seeing. Let me provide just a few highlights. We successfully delivered two planned commercial releases of IHS Connect during the quarter, and usage has doubled sequentially from Q1, while revenue for products on Connect remains on track for the year. We completed three commercial releases of the engineering Workbench increasing content and functionality. As a result we saw great success with knowledge collections with a number of users per week grew 90% from Q1 and the number of customers grew over 40% from Q1. We are also on track to additional launches in Q3 and Q4. We completed further development in planned releases of our energy platforms, IHS Meridian and Navigate, as well as our operational excellence and risk management enterprise platform IHS Sphera. For each, we continue to see solid customer reception, engagement and adoption. Overall we're making good progress and remain on track 2014 goals. Account growth and developing our high opportunity accounts and geo market is the other element of our commercial expansion initiatives. This includes a focus on our target 1,000 accounts of large existing customers and high potential customers. While we also build new business momentum with our global field sales teams, inside sales infrastructure and new e-commerce platform. We are making solid progress on these key initiatives and remain on track to our long term goals. And we are beginning to see the positive impact as reflected in our Q2 performance. In summary, we had a strong second quarter and first half of our 2014 fiscal year with expanding organic growth, solid contribution from acquisitions, strong profitability and solid free cash flow that allowed us to continue to rapidly delever to the first half of the year. We see our second half organic growth developing as we expected. We are also focused and making good progress on the development and rollout of common work flow platforms and the account initiatives that will deliver new growth this year and beyond. Importantly we are realizing the benefit of our maturing common global systems and processes. And are using these to more completely organize operations around our customers and to enhance our execution, this is being reflected in our 2014 performance. We exit Q2 with a very clear and consistent strategy and very clear sets of priorities, tied directly to our performance goals, and every IHS colleague is delivering well to them. And with that I will turn the call over to Todd.
Todd Hyatt: Thank you, Scott. Let’s start by reviewing some of the financial highlights for the second quarter. Revenue was $568 million, an increase of 36%. Adjusted EBITDA was a $173 million, an increase of 33%. Adjusted EPS was $1.47, an increase of 17% and free cash flow was a $195 million, an increase of 83%. Relative to revenue we were pleased with Q2 which benefited from strong acquisitive performance, favorable seasonality driven by both our advance in the quarter and by Polk and solid organic revenue performance. Q2 was our second highest revenue dollar quarter excluding the impact of acquisitions and we continued to see that trend this year. In the quarter, revenue increased $150 million to $568 million. Revenue included organic growth of 6% and 30% growth from acquisitions with a minimal positive FX impact. As expected, we continued to see improvement in subscription revenue with solid 6% organic growth, second quarter subscription represented 75% of total revenue. Our non-subscription growth improved to 4%, this growth was driven primarily by strong consulting services and advance performance. As we look forward we are encouraged by our consulting and services backlog and strengthen our sales pipelines. As a reminder, Q3 growth will be impacted by the year-over-year comparison to the biennial, Boiler Pressure Vessel Code product which was a benefit last year. However we continue to see neutral to positive organic growth in non-subscription revenues for the full year. Looking at regional performance, growth was strong across all three regions due in part to the inclusion of R.L. Polk and anchored by steady organic subscription revenue growth. Americas' overall revenue increased 46%, organic growth was 4%, acquisitions added 43% primarily due to R.L. Polk’s significant U.S. presence and FX was an adverse 1% impact. Americas' organic subscription revenue growth was 5% and non-subscription organic growth was 3%. EMEA's overall revenue growth was 23%. Organic revenue growth was 10%, acquisitions added 9% and FX added 4%. EMEA's organic subscription revenue growth was 9% and non-subscription organic growth was 14%. The very positive EMEA performance is reflective of solid infrastructure, improved sales systems and processes and strong sales leadership in field sales teams. APAC overall revenue growth was 10%, which included acquisition growth of 6% and 4% organic growth with minimal negative FX impact. APAC's organic subscription revenue growth was 10% with total organic revenue impacted by negative non-subscription organic revenue growth due to quarterly variability in non-recurring offerings. Across the regions, Americas continues to anchor our organic revenue growth with very stable performance. We expect continued strong EMEA subscription performance and continued solid subscription performance in APAC for the balance of the year. Let me comment also on our product categories. We preview this recording at Investor Day and Scott provided color for these product categories in his opening comments. Our organic revenue performance in Q2 included resources of 6% versus 7% in Q1, industrials 1% versus -2% in Q1, and horizontal product lines at 7% versus 5% in Q1. Turning now to profits and margins; adjusted EBITDA totaled $173 million, up $43 million or 33% versus a year ago. Our adjusted EBITDA margin was 30.4% which represented margin reduction of 70 basis points versus the prior year. Margin performance was somewhat muted due to the inclusion of acquired revenue, new product investment and a modest negative FX profit impact. We expect to see improving margins in the back half of the year, as we realize operating efficiencies and improved margins of acquired entities. Regarding segment profitability; Americas' adjusted EBITDA increased 25% to $135 million and benefited from the inclusion of R.L. Polk. EMEA's $40 million adjusted EBITDA increased sharply over last year with a 48% improvement. And APAC's adjusted EBITDA improved $3 million or 25% year-over-year. I was pleased to see the positive EBIT improvement in EMEA and APAC which benefited from revenue growth on the scaled infrastructure we have deployed globally over the last three years. Turning to adjusted EPS, Q2 increased to $1.47 per diluted share, a $0.21 or 17% improvement over the prior year, reflecting the strong accretive benefit of the R.L. Polk acquisition, as well as operational improvement. Our adjusted EPS also benefited modestly from flat sequential depreciation that should track to our guided range for the full-year. Interest expense tracked in line with our expectations and we expect to see interest expense tracked to our guided range for the year. Stock-based comp was $80 million for the first half and we are trending toward the low end of our guidance range for the year as we have effectively managed our burn rate to the 2% of outstanding shares we discussed on our January call. Our GAAP effective tax rate was 23%, and is trending towards the high end of our guidance range of 20% to 22%. Our adjusted tax rate was 29% and is also trending towards the high-end of our guidance range of 28% to 30%. The full year’s earnings guidance is predicated on this adjusted tax rate which assumes 35% tax rate on adjusting items. Turning to free cash flow; during the period we generated free cash flow of $195 million, an 83% year-on-year increase. Our trailing 12 month free cash flow was a strong $511 million and represented a conversion rate of approximately 80%. We are very pleased with this conversion and the continued strong cash generation attributes of our business model which provides us great operational and capital structure flexibility. Given strength on first-half cash flow we expect free cash flow conversion to slightly outperform our full year mid-60s conversion target, but we do expect lower seasonal cash conversion in the second half of the year. Longer term, we expect the mid-60s conversion reflecting increased interest expense and an increase in our cash taxes. Turning to the balance sheet; our quarter ending debt balance was $1.857 billion. In the quarter, we reduced our debt balance by $174 million and also closed the quarter with $221 million of cash. Our quarter end gross leverage was 2.85 times which is in line with our target leverage range we discussed on Investor Day. We are pleased with the rapid delevering from our elevated 3.7 times leverage at the close of the Polk transaction in July 2013. Turning to guidance; we are reaffirming the full-year guidance range as we have provided consistently since our year-end call. I do want to provide some additional color regarding our revenue performance and profit progression. We are tracking towards the upper end of our revenue guidance range of $2.17 billion to $2.23 billion, due primarily to higher acquisitive revenue. We do expect to see strong margin improvement in the second half of the year and we are tracking toward the middle of our EBITDA guidance range of $675 million to $705 million. In summary, we continue to see strong acquisitive revenue performance and solid organic revenue growth in the first half of the year and we were also pleased with our year-to-date profit performance and strong cash delivery. While we continue to invest in the business and our future growth we also expect to see improving margins in the back half of the year with Q4 typically being our strongest quarter. And with that, I will turn the call back to Scott.
Scott Key : Thanks Todd. I want to thank my IHS colleagues for their tremendous focus in the first half of the year. We were pleased with the solid first half of 2014 and are confident in the foundation this builds for the remainder of the year. We made good progress on our key initiatives and have the full engagement of more than 8,000 colleagues around the world who are fully focused on reaching our commercial potential and making it easier to do so every single day and everywhere in IHS. In closing, we like our position as we close the first half of our fiscal year and our first half performance has us on track to our three year commitments in expanding organic revenues, expanding margins and strong conversion to free cash flow as we continue to scale IHS with the right assets that are substantially accretive to shareholders and are quickly accretive to our key financial metrics. Todd and I are ready to answer your questions so let’s start the Q&A.
Operator: Thank you. (Operator Instructions) Your first question comes from the line of Bill Warmington with Wells Fargo. Please proceed.
Bill Warmington - Wells Fargo Securities: And congratulations on a solid quarter. A question for you on the Americas growth, it was down for the second quarter in a row. But also in your comments you mentioned that you’re seeing signs of improved organic performance in the Americas. So my question is, are you seeing something of an inflection point there and what’s giving you the confidence there?
Scott Key: Thanks Bill, and I very much appreciate it. We’ve had pretty consistent performance in the Americas as our subs growth again are relatively consistent there, of course it’s the Americas in total is over 50% of the business, so it really anchors the business. There is a couple of themes we talked about aerospace and defense, clearly government spend still effects of the sequester, these types of things have impacted the total organic growth in the Americas. And we’re moving past and building off of those were impacts really for the past year or so. So I think we’re seeing pipelines build, we’re seeing strength in our teams resulting from simplified systems and I think some strength operationally. And those are being reflected in our sales pipelines. What I’d say also Bill just some other color we had over 400 business leaders together yesterday and the day before looking at the back half of the year and into 2015 across IHS so 200 here in Denver, a team gathered in Asia and in Europe and really looking at our pipelines and we see a lot of optimism and confidence from those teams. So I think that’s why we feel good about where we’re headed in the Americas and elsewhere.
Bill Warmington - Wells Fargo Securities: And one follow up if I may on the -- your thoughts on renewing M&A activity in the second half. You’re now back in your target range for leverage ahead of schedule. And if you could just talk a little bit about what you’re seeing in the pipeline for acquisitions; we’ve had other companies in the [inflow] [ph] services space talk about a lot of properties coming into the market. Are you seeing that on your end and is that part of what’s going to help drive that on the second half?
Scott Key: Thanks Bill. And we ended the first half in good shape over 220 million in cash as we ended the quarter, great position in terms of de-levering and so we feel good about our flexibility. As Todd had said and as I said, we’re reactivating the pipeline. We’ve been tracking -- we track companies for 10 years, we make good moves when they make sense. So we see a lot of things as we did last year and the year before that we’ve been tracking for a long time that are attractive right in our range, so kind of this 30 million to 40 million in revenue that add great capabilities to IHS either regionally or globally. And so I wouldn’t say any specific uptick in new properties coming to market but a solid pipeline that we’ve maintained for many years. So we feel good about identifying the right things and moving on the strategic things that add value.
Operator: Thank you. And your next question comes from the line of Paul Ginocchio with Deutsche Bank. Please proceed.
Paul Ginocchio - Deutsche Bank: Thanks for taking my question. Just you mentioned at the Analyst Day about the upsell, the nice upsell opportunity you’re getting from the new IT and sales platform. Could you just update us on those trends or has there been any change in what you talked about back in the -- at the Analyst Day? Thanks.
Scott Key: Appreciate it, Paul. And a couple of things there, one, as I said we had 400 leaders, sales leaders, business line leaders, product leaders together over the last couple of days. And I’d say one thing that -- we do this mid-way through every year, we gather all of our leaders in the three regional centers and we look out and the big difference this year from last year I think was the simplicity in understanding the performance of the business because of the systems we have, the ability to see white space both regionally by industry at an account level. So a lot less of scrambling around the quality of the data and the ability to have insights and more towards action. So I think that is different than a year ago and then of course that results in more of our time spent focused on those opportunities. And then as I mentioned some of the comments the new work flow platforms that we have out, each of those are on track to our performance sales goals for the year, some above, some right at. But I’d say we are seeing it develop as expected and of course that’s new growth. So I think those are the two things Paul that we’re seeing that maybe is different than before and is leveraged from these systems.
Paul Ginocchio - Deutsche Bank: Great, that’s helpful. And is it all aerospace defense that makes up the difference in non-sub growth between the U.S. and Europe versus something else, that’s driving that pretty big differential. Thanks.
Scott Key: Well, there’s always some one-offs across our business, as we talked about in the past we’ve got a few non-strategic areas that are non-recurring. I talked about the [back] [ph] storage business that isn’t really critical to what we do but our core customers ask us to do it. Sometimes we have variability in those types of things in the non-recurring that measure in the single millions of dollars but unfortunately have an impact on the percentages. Aerospace and defense and government spend is challenged globally, certainly here in the U.S. But beyond that, I think the non-recurring pipelines for the bulk of it we either see them improving so for example technology, improving and then strength as I said in areas like chemical, energy, of course automotive.
Operator: Thank you. Your next question comes from the line of Brandon Dobell with William Blair. Please proceed.
Brandon Dobell - William Blair: Thanks, guys. Wondered if you could address sales force churn issues maybe any kind of granularity around some of the geographies as well. How has it trended so far this year? Is it trending better this year than last just those kind of comparative assessments would be great. Thanks.
Scott Key: Well, thanks Brandon. And maybe there is some strategic shifts that are happening. So we talked at Investor Day about the Target 1000 and building that team. We are on track to that. We have 160 accounts now in that program and that’s a little less than half of the 350 we talked about getting to. So of course those are new skills we’re bringing in as well as some experienced IHS sales executives moving into that program. We also have been successful in the continued migration and build of accounts into, inside sales. And so what that’s allowing and I am not sure it’s churn but I think it's planned evolution in our field sales force. So as I mentioned increasingly the field sales is now focused not on renewals but on new business and strategic accounts that potentially are smaller. So that’s different skill sets, new training. So no unintentional or large blips in attrition in our sales teams, but I would say a managed evolution as we shift the resources and skills and build those to drive to growth. Is that helpful?
Brandon Dobell - William Blair: Yes. And I guess within the -- maybe comparing EMEA versus Asia PAC, is there any major difference in terms of how you guys have kind of set those markets up. I know sometimes culturally it's a little bit different to attack organizations with a certain sales structure. Any major change you guys have had to make, I guess by geography in order to take advantage of the Target 1000 opportunities there?
Scott Key: Well, it’s a really good question. So we probably have the cleanest and most stable structure after a couple of years of really dedicated build at EMEA. So really strong industry teams with Target 1000 on top of those in the largest accounts focused on aggressive solution sale, we’re having everything across IHS and then well-developed leaders in sales teams by industry and then with product specialist. We have replicated that over last couple of years in APAC, but you’re right it is different because it’s such a diverse region, there is a strong country focus and region focus like South East Asia and then China and Japan that’s an overlay to that industry and product specialist structure. And then Americas being as large and diverse, we are starting and I think we will see the benefit of a clear organizational structure and alignment around the customers I suggested because we can use our systems to do that. So we are making progress there in the Americas in the U.S. So I’d say those are differences. Very directed and clear in EMEA, a little bit of a regional country overlay in APAC. And then we are making really good moves in the Americas right now to take advantage of that.
Brandon Dobell - William Blair: Okay. And there’s one clarify question, you said you’re tracking towards the high end of the revenue guidance range and it sound like that was primarily due to Polk of the implication of a core business tracking like you expected versus above what you expected, is that a fair way to characterize say that or looking at the revenue guidance trends right now?
Scott Key: I couldn’t have said it better myself, I think you have it right.
Brandon Dobell - William Blair: There you go, I just want to make sure. Thanks.
Todd Hyatt: Back organically and you know some revenue lift and strength in acquisitions.
Brandon Dobell - William Blair: Okay. Great.
Operator: Thank you. And your next question comes from the line of Peter Appert with Piper Jaffray. Please proceed.
Peter Appert - Piper Jaffray: Thanks. So Todd as you mentioned in your comments, your guidance suggests some pretty dramatic second half margin improvements. So I was hoping you just talk a little bit more about what drives the margin improvements and granularity in terms of words coming from, how important is the annualizing of the Polk acquisition to the margin performance, anything along goes, it will be helpful?
Todd Hyatt: Well, I mean Polk certainly, Polk/car effects certainly will lift margin in the second half of the year and we feel very, very comfortable with that Peter. We did indicate, in Q2 we drove some additional accusative revenue and have some investment in some of the acquired entities we had a new product launch in [indiscernible] they used car listings which was very effective I think well received in the market but put some additional branding behind that and we see that as we move into the back half of the year there will be in a position to drive additional margin through that, also remain on track with Polk and the cost synergy so, that’s a force but you know from an organic perspective we also see improving margins and we referenced on the call, good strength that we saw this quarter in EMEA and APAC, we really see the fixed cost structure and the ability to leverage revenue delivery to the bottom line and so on the second half of the year we think that will happen as well and across the business. you know there are a couple of smaller things as well Peter which I know you’re aware of but you know we, boiler code last year was a bit suppressive and we’ll get a lift when we, that will be a drag on revenue but we’ll get a lift on the margin. And then I also referenced in my comments, not one that we talk about often but a bit of a negative impact on FX in the first half of the year. I mean that pulled us down. Interestingly helped at the revenue line but hurt at the margin line so looking at the acquisitions, looking at the organic development and then a couple of these other things we feel very confident with the ability to drive strong margin in the back half.
Scott Key: Yes, and the other and I had mentioned this Peter as well we have a kind of double impact. Obviously Polk wasn’t in the first half numbers, in the back half. But then we’ve got a year of improvement and focus on margin expansion in 2013 acquisitions that we’ll start to realize more fully in the back half. So a lot of positive things and I - we can’t discount what Todd said here, he showed the chart at investor day on rising organic revenue growth, you know we just have improving fall through as he said it was great to see that in operating income in EMEA, APAC and that growth was going to give us a lot of margin expansion capacity and what we see in that in the back half of the year as well.
Peter Appert - Piper Jaffray: That’s very helpful, thank you and then, Todd one other, Scott sorry, one other thing, just in terms of your comment on reactivating the acquisition pipeline you said to an earlier question you were focusing in on $30-40 million acquisitions. Is that to say larger transactions are less appealing or just less obvious things for you to buy at this point?
Scott Key: No, it’s always a balance here Peter, historically our average has been the 30 to 40 million range and then tuck ins and we’ve got a long pipeline of those that we’ve tracked for a long time, but to your point we can say really unequivocally that the larger deals are the most accretive to shareholders, they’re the simplest to capture revenue from. You know they have the most stable and well established system that makes integrations simpler. So if you can look past -- look back at our history we’ve always delivered more value from the larger deals. So I wouldn’t exclude those, but we certainly don’t want to signal that there’s some imminent large deal again in a pipeline. So it’s a balance historically the $30-40 million’s been what we’ve done and we’re on track to -- we’re looking at a lot of things right now, so those comments are just balanced across the range, Peter.
Operator: Thank you, and your next question comes from the line of Gary Bisbee with RBC Capital Markets, please proceed.
Gary Bisbee - RBC Capital Markets: Hi thanks. And Scott will know, by my count at the investor day I think four of you executives mentioned how nice it was to do a large deal, so you got us all thinking at least about your desire to do another one of them. Any rate, so I guess my question, can you give a little more color on the new breakdown that you provided after the investor day and specifically within the industrial segment how has auto been trending versus we know some of the areas like aerospace defense and government market you’ve talked about being weaker. But that negative growth over the last year is that really masking what’s been continued, I don’t know if double digit is right, but continued strong growth in auto overall on an organic basis.
Scott Key: Yes, well, we saw an uptick in industrials across those four industries of plus 3% on the subscription side from Q1 to Q2. You know technologies we talk about maritime, aerospace and defense, you know those were flat, aerospace and defense challenge over the last year and we see real positive improving trends across autos is the strong driver of industrials with a very solid performance so that’s why you’re seeing what you’re seeing but good lifts quarter on quarter and we expect that to continue.
Gary Bisbee - RBC Capital Markets: And then just a follow up, you talked at the investor day, I guess as you have over the last year but all the moving parts that may have disrupted sales, productivity like in the new CRM system, new processes for signing up accounts etc. And I guess this year you’re really restructuring sales in terms of who’s doing what, inside sales, versus field versus the account managers et cetera . So is there any way to gauge that level of disrupted that you’d citied impacting last year’s growth. Is it a similar level this year or could we see that actually contributing to better, that there’s maybe a little less disruption or is it just too hard to…
Scott Key: Yes, less disruption, so the sales systems are working, its relentless operational excellence means quarterly, we’re improving those systems and processes and making it easier. We’re seeing the benefit every quarter and we are not moving things around so much that it's disrupting us.
Operator: And your next question comes from the line of Suzi Stein with Morgan Stanley, please proceed.
Suzi Stein - Morgan Stanley: Hi, I just had one quick question. As you mentioned the weakness in APAC in the non-subscription business and then you also mentioned that you expect it to pick up in the second half; I’m just wondering given the -- there is you know sometimes not a kind of visibility on that, and where is the confidence coming from? Was there something specific in this quarter that brought that number down?
Scott Key: Thanks Suzi. I wouldn’t characterize it at all as weakness. If you look at the size of our APAC business, a couple of $100 million, and $1 million, $2 million, $3 million non-recurring deals; they just moved the quarterly percentages around depending on when they close. So, it’s really just variability in when they fall, and not really any weakness in the pipelines. We saw really solid subscription organic growth in APAC and we see a good pipeline in non-recurring and the only drag from the non-recurring in APAC is just the timing of when these deals fall. And we spend -- tend to focus on the year, not the quarter. So that’s what you’re seeing there and that’s why we feel good about the rest of the year.
Operator: And your next question comes from the line of Andrew Steinerman with JPMorgan; please proceed.
Andrew Steinerman - JPMorgan: I wanted to get a sense of the Polk revenue contribution in the second quarter, and if I look at your new verticals disclosure which is great, if Polk was the only acquisition in the industrials vertical, it looks like back into about $116 million of Polk revenue in the second quarter. I know that’s not adjusted for FX, but it’s at the right zip code, $116 million of Polk revenue in the second quarter.
Scott Key: That’s a great question. We're so tightly integrated into IHS Automotive, Todd, I am not sure, I know what Polk revenue was in the second quarter.
Todd Hyat: Polk revenue has been trending, Andrew, in the range that you saw it in the first half; we reported it in the back half last year. It's went up a couple of million dollars. Certainly Q2 is seasonally strong for Polk. So we reported acquisitive in total and I think the acquisitive number is pretty visible but I think if you take second half of last year, and increase it by three million to four million, you're probably in the right ZIP Code.
Scott Key:  R.L. Polk [indiscernible] including CARFAX, we expected that 400 million to grow 8% to 9%, solid growth high single digit teens in CARFAX. And then Polk was lower, moving up to the IHS automotive, higher single digit organic and we're seeing that. So we are seeing good progress and momentum of that low single digit core Polk moving up towards IHS automotive in the first half.
Andrew Steinerman - JPMorgan: And it’s only acquisition in industrials over the past year.
Todd Hyat: Yes.
Operator: Your next question comes from the line of Manav Patnaik with Barclays, please proceed.
Manav Patnaik - Barclays Capital: So just a follow-up on sort of the acquisition contributions, you mentioned that you’re expecting revenue to be at higher end due to the better acquisitive revenue performance. Is that mainly Polk or is some of these other smaller ones you’ve acquired last year notable, where you can provide some detail there.
Scott Key: Thanks Manav. And we did a number of energy deals last year, and also realized as we said on the call, a really solid event performance in Q2. So we had good growth there, but I'd say the energy assets are doing well, [indiscernible] are doing well, Polk doing well. So it’s a combination of those things, and just positive to see these early signs of the synergy revenues also. So both on R.L. Polk, the Analytics stuff, they’re really working well that we're investing in; and CARFAX new offering. So those are the things driving it.
Manav Patnaik - Barclays Capital: Okay then to the commentary on high end of revenue guidance with midpoint of EBITDA, is the bridge there basically the investments you were talking about in the call, is that’s what just holding that to be towards the midpoint on the EBITDA?
Scott Key: I think that’s a (non-figure) [ph] way to look at it. I mean the organic stuff is just right on track. It’s pretty much what we said. We’re pleasantly surprised again in the first half for some of the seasonal stuff doing better than we thought and then investments in the acquisitive stuff bring a real value and that will pay off in the long run. So I think you got it right.
Operator: Your next question comes from the line of Jeff Meuler with Baird; please proceed.
Jeff Meuler - Robert W. Baird & Co.: Good to see the second quarter growth in a row on the non-subs organic, I know there is variability there and I know you have the tough comp from the quote in a year ago period next quarter, but are we at the point where based on the pipeline that there is going to be some cadence and the days of decline are behind us and that going forward looking out over the next year or so, that it should still be flat up.
Todd Hyatt: That’s our goal and what we've said is operational focus, I think ownership, discipline. So what we expect to see is consistency across the business and that consistency should reflect in the kind of delivery you’re seeing now. And the most important thing for us is let's have the subscription roll to the business driver overall organic, that’s the biggest part of our business, and that’s what we're seeing now. Great to see subscription organic and (total) [ph] organic exactly the same number so we’ve got the bulk of the business driving our overall performance and we expect that for some time to come, just great teams executing well and owning well across all those non-recurring areas, so I would characterize it as yes, the long term consistency and delivery is what we expect.
Jeff Meuler - Robert W. Baird & Co.: Good to hear and then Todd can you help us with some mass when you anniversary Polk, how much lift will that give you to your organic growth rates given that its growing faster and seems to be performing better than originally anticipated?
Scott Key: Yes I mean tens of basis points I mean you can pretty much back into it by just as growing at six and you put Polk at a couple of points above that you can back into pretty close calculation, but realize we had a really strong Q4 in Polk with some one-time items in last year 2013 so we’re going to lapse those and also CARFAX is a strong seller and grower so pretty consistent growth in every quarter. So the lift as a result is its good performance and good overall but lapsing on solid performance last year.
Todd Hyatt: Yes and further to that point Q3 is not a full quarter. Q3 is the partial quarter with Polk.
Scott Key: That’s right.
Todd Hyatt: And Scott said it has to grow over itself and Q4 was a very solid quarter for Polk last year and we pointed that out on the call. But what we want is either neutral to accretive assets quietly coming in and supporting our overall long term organic growth polls and that certainly what’s happening with Polk and the other 2013 acquisitions.
Operator: Thank you. And your next question comes from the line of Hamzah Mazari with Credit Suisse. Please proceed.
Hamzah Mazari - Credit Suisse: On the new platform rollouts, if you could just update us on how to think about pricing for those new platform rollouts? I believe you said you were going to discount those and any change there longer-term how we should think about pricing. And then on the cost side related to the new platform rollouts how many of your developers are currently maintaining legacy systems versus working on new products? Thank you.
Scott Key: Yes, thanks Hamzah. And you have it right, the key and we say this embedding ourselves in customers’ key decisions and work flow processes and building those very rich and deep partnerships. So we are working on cross sell and up sell surfacing new content and that’s really the focus as opposed to driving price at least in the near term and we want to make sure that this embedding across organizations is where our focus is. So, price is less of a driver right now more of a driver on up sell and cross sell. And so, so that’s where we are in platforms. And then we still have more than 50% of some 1,300-1,400 developers in technologies across IHS focusing on legacy stuff. So we haven’t crossed that bridge yet of moving the majority of customers on the new things, we’re making great progress and you see it every quarter but we still have four, five, six quarters to go to really start to turn the corner there in terms of our development resource.
Operator: Thank you. And your next question comes from the line of Andre Benjamin with Goldman Sachs. Please proceed.
Andre Benjamin - Goldman Sachs: Hi. Actually just wanted to follow up on that question about cost, I know you mentioned margins should be up in the second half of the year. But on an absolute level I was wondering if you could talk a bit about spending levels, the rest of this year more importantly next year as you do bring those platforms online. Should we continue to see absolute levels of spending continue to go up or could we actually see it stabilize and then dip as more of it comes online in the back of the year?
Scott Key: I think you’re right that certainly the investment and spend on legacy things is going to start to decline and those are material costs measured in the many tens of millions of dollars. But as we said, we are going to deliver to this commitment of 100 basis points of margin expansion over the next three years so 300 or 300 plus basis points of margin expansion. And we’ll shift that spend where it makes sense to new investment like we are in some of these new platforms. So as we free up expense we may shift it to other place to drive revenue growth of course that revenue growth will fall through a differential rate and that will allow us to expand margins as committed or potentially faster. So it’s a balance but you’re right absence then in these areas is going to come down. But all of that gives us confidence in delivering to our margin commitments. Thanks Andre.
Operator: Thank you. And your next question comes from the line of Joseph Foresi with Janney Montgomery Scott. Please proceed.
Joseph Foresi - Janney Montgomery Scott: Hi. I was wondering if you could update us on the number of sales hires and their activity. Are all the recent sales hires up and running? And then I have one quick follow up.
Scott Key: Sure, and thanks for the question. So we talked about over 30, around the target 1,000 which I think is what you’re referring to as we were at Investor Day and I talked about 160 plus accounts now within that program. We’re making good progress there. But what I will tell you is we’re being very prudent, so we’ve got good pipelines developing from those we brought on the last year and right now we’re watching the success of the development and build of those pipelines we’re watching closure against them and we want to learn as we continue to invest in the program, so we’re a little bit past where we were at investor day but we’re also monitoring the program, monitoring success and we’re going to use that as the driver of continued investment in the back half of the year next year, but that’s where we are.
Joseph Foresi - Janney Montgomery Scott: And then on the non-subs business growth rate going forward, I know we have some tough comps in the second half, but what should we think about for a sustainable core growth rate in that business, you know now that you got it back up in positive territory.
Scott Key: You know all of our non-recurring supports are core offering, supports our core industries and supports our largest customers. There’s no reason that it should be dilutive to IHS overall organic growth rate in the long term as we balance that business to it's kind of must have offerings that link directly to our subscription offerings, so we’ve been making that evolution over time and then much tighter responsibility, better teams managing stronger and more stable leadership as we finalized our infrastructure, so I would say over the long run we should see it being running roughly at our overall organic rate and not materially dilutive which is where we want to be and we should no problem -- we should have no problem being there.
Operator: Thank you, and your next question comes from the line of Andrew Jeffrey with SunTrust please proceed.
Andrew Jeffrey - SunTrust Robinson: Thanks, good morning guys. Question with regard to some of the geopolitical instability we’re seeing and the resulting rise in crude prices, how does that affect your thinking, potentially affect demand, is that something that you factor into your organic revenue growth considerations, perhaps not this year but as you look out to next year should it continue?
Scott Key: Yes, great question. If you look across our industries you know commodity price does not tend to materially drive our performance. You know, we support operations and deliveries on energy, we support production every day and then we support capital investments. We support operational efficiencies, so to the degree that a price change in the market signals a capital shift, so for example it may be challenging to deploy capital into Iraq and companies may now decide to move towards Brazil, move towards other areas in North Africa, will be help, but that’ll be good for us, so change and change in portfolios but absolute price you know not a real impact on the business but certainly it’s a dynamic in the market and we’ve got a lot of customers coming to us now on the security side, on the country risk side, trying to understand their assets so those are all good things for us.
Andrew Jeffrey - SunTrust Robinson: Okay and then maybe from a granular perspective as you look at organic revenue growth. Scott you highlighted some new work flow rollouts, IHS Connect, engineering workbench et cetera. To the extent that you moved through that process, do the rollouts that you’ve completed this year and have planned for the second half sort of incrementally add to organic revenue growth visibility in ’15. In other words, are the bolus of the rollouts that make you feel confident about an acceleration underlying revenue growth, have they either occurred or are on the cusp of occurring or do you see the same sort of pace next year?
Scott Key: Yes, they’re occurring and it’s part of elevation of couple of 100 basis points in organic growth over three years and we set performance sales growth around these new platforms that driving increasing organic growth and there we are on track, so I think that’s part and parcel of the three year growth plan and we are on track and it’s a ratable consistent, we deploy into the market, it’s a subscription business, it takes a while for that to appear in sales and recurring revenue, so we’re just on track for those and we expect the same pace next year.
Operator: Thank you, and your next question comes from the line of Shlomo Rosenbaum with Stifel, please proceed.
Shlomo Rosenbaum - Stifel Nicolaus: Hi good morning, thank you for taking my questions. I just want to ask you a little bit about how Polk is progressing. Digging a little bit deeper, it seems like the cost take out is fine, and I wanted to just ask about the joint products that the IHS folks are delivering with Polk, at the analyst day you talked about how the cadence of products is faster than the company has ever seen before. What are you seeing out there in the market and are you seeing evidence that you’re getting a one plus one equal three with the synergies from that acquisition on the revenue and the product side.
Scott Key: Thanks Shlomo and you have it right. So we talk about these new analytical products and that’s what we’re seeing, we’re seeing reception in the market, we quickly formed joint teams across Polk and IHS automotive to get at these combined information of Polk information, IHS auto information to create new analytics with customers and it’s exciting to see six, six product launches over the first seven months of the joint teams, then working seamlessly together we have a combined analytics team now. And we’re seeing great customer receptions. I was in Detroit just a week ago. I was talking to our (office) [ph] team in Japan some great wins all around these new analytics. So we are seeing really good traction and importantly it’s the execution and delivery, the potential of the strategy. So strategy wise you know products information, point of sale information, new analytics for OEMs and others understand their business and now we’re seeing those come to fruition very early so very encouraging sign, so that’s exactly what’s happening in the market.
Operator: Thank you. There are no further questions. So I’d now like to turn the call over to Mr. Scott Key for closing remarks.
Scott Key: Thanks so much, we appreciate all the questions and again thanks for your support, feel great about where we are as we close the first half and as we move into the second half, so I’ll turn it over to Eric.
Eric Boyer: We thank you for your interest in HIS. This call can be accessed via replay at 888-286-8010 or international dial-in at 617-018-6888, passcode 581-89327 beginning in about two hours and running through June 26th. In addition the webcast will be archived for one year on our website at IHS.com, thank you. We appreciate your interest and time.
Operator: Thank you ladies and gentlemen. This concludes the presentation, you may now disconnect and good day.